Operator: Good day, and welcome to the Pool Corporation Fourth Quarter 2024 Conference Call. All participants will be in a listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Ms. Melanie Hart, Senior Vice President and Chief Financial Officer. Please go ahead, ma'am.
Melanie Hart: Thank you, and welcome to our fourth quarter and year-end 2024 earnings conference call. Our discussion, comments, and responses to questions today may include forward-looking statements, including management's outlook for 2025 and future periods. Actual results may differ materially from those discussed today. Information regarding the factors and variables that could cause actual results to differ from projected results are discussed in our 10-K. In addition, we may make references to non-GAAP financial measures in our comments. A description and reconciliation of our non-GAAP financial measures, including our press release, are posted to our corporate website in the Investor Relations section. We have included a presentation on our investor relations website to summarize key points from our press release and call comments. Pete Arvan, our president and CEO, will begin our call today.
Peter Arvan: Thank you, Melanie, and good morning, everyone. This morning, we released our full year and fourth quarter 2024 results reflecting sales slightly better than our earlier expectations and solid execution by our teams. As construction and remodeling activities remained under pressure, we focused on providing an unmatched customer experience, driving growth in our maintenance business, including double-digit growth in our private label chemical sales and continued development and deployment of our Pool 360 ecosystem and tools. We believe that consumer spending on discretionary, especially that which requires financing, continues to remain a headwind. While still preliminary, we believe new pool construction will land at approximately 61,000 units for 2024, which equates to a 15% decline in new units compared to last year. From the pandemic-driven peak to the most recent data, we have seen new pool construction decline by approximately 50% in units with declines also observed in renovation and remodel.
Peter Arvan: Considering this, along with the general economic headwinds, we are pleased with our team's ability to gain share in a tough environment. We believe our share position has grown driven by our best-in-class team, solid execution, unmatched value proposition, and continued investment in a resilient industry. Now I would like to recap our full year and fourth quarter results. For the full year, we delivered $5.3 billion in revenue, down 4% from 2023, and slightly above our latest guidance driven by a tremendous team effort in creating an unmatched customer value proposition. Our gross margin finished the year at 29.7%, reflecting weaker product mix as higher gross margin construction and remodel-related products represented a smaller portion of our total revenues along with some competitive pressures and customer mix impacts, which Melanie will comment on in her remarks. Generated operating income of $617 million, operating margin of 11.6% in line with our expanded 2020 operating margin and operating cash flow of $659 million. We consider this a solid achievement while continuing our strategic technology investments, sales, and our network expansion, and overcoming higher operating cost inflation over the period. We generated diluted EPS of $11.30 a share including a $0.23 ASU tax benefit. For the fourth quarter, total sales were $988 million, down 2% compared to last year. Continuing the year-over-year sequential improvement we demonstrated throughout the year. Gross margins improved 10 bps to 29.4% compared to the same period last year, and we generated operating income of $60.7 million, operating margin of 6.1%, and diluted EPS of $0.98 per share including a $0.01 ASU tax benefit. Breaking sales down by geography for the full year, Florida came in flat. While we saw mid-single-digit decline in the other year-round markets. Florida showed resilience throughout the year and in the fourth quarter outperformed our other markets with 12% growth. Repair and replacement activity following hurricanes Helene and Milton provided some weather-related to Florida's fourth quarter results, but the storms likely delayed construction and renovation activity. Remaining year-round markets saw sales decline ranging from 3% to 7% in the quarter. Similar to what we observed throughout the year, maintenance-related sales held up well while construction-related products saw pressure particularly in Texas and California. So for Horizon, net sales declined 6% for the full year and 4% for the fourth quarter. Stronger commercial irrigation projects along with maintenance-related sales offset softness in the residential construction activities. Bettering PVC pipe deflation impacts, volumes came in mostly flat for Horizon for the fourth quarter, which we consider an encouraging and improving trend. For Europe, sales declined 9% for the full year and 5% in the fourth quarter. We noted year-over-year sequential improvement during the 2024 swimming pool season in Europe. Onto our product categories, chemical sales increased 2% for the year and 8% in the fourth quarter. As mentioned, mid-teens growth in our private label chemical sales supported our ability to grow overall chemicals greater than the increase in the installed base. Fourth quarter sales were lifted by post-storm cleanup efforts in Florida, but continued to show growth across the overall business. At the winter industry shows, we also unveiled our new branding and marketing plans, which will create even more demand for these best-in-class products. Complementing this, we introduced branded test strips that will work with our private label consumer app which is new for the 2025 season and will allow us to drive additional growth through our dealers for our proprietary products. Building material sales declined 10% for the full year and 8% in the fourth quarter, considering the estimated 15% decline in new pool units constructed, these results are strong indicators that our value, our proprietary NPT branded pool and tile finishes, our expansive outdoor living offering, the power of our model and the superior tools and expertise provide to our support. To provide to our builders. Equipment sales, which exclude cleaners, were flat for the year and up 6% in the fourth quarter. As expected, maintenance-related equipment demand remained steady and the fourth quarter included heightened repair and replacement activity in Florida. Supply chain teams worked very closely with our vendors to improve inventory vitality and fill rates or reducing days on hand. We have invested in people, processes, and technology that help deliver a better customer experience and solidified the confidence that we will effectively deliver needed products when they are needed most. Turning to end markets, our commercial pool product sales continued to grow with 9% growth both for the full year and in the fourth quarter. We continue to invest in capability that allow us to take larger share position in a very technical market. Our recent investments, which include acquisitions, inventory, and talent expansion will allow us to continue delivering growth in commercial aquatics. Sales to our independent retail customers declined 4% for the full year, but were up 1% in the fourth quarter. Pinch A Penny retail sales representing our franchisees sales to their end customers increased 4% for the year and 15% in the fourth quarter. While the franchisee's sales to end customers have been steady throughout 2024, most Pinch A Penny stores are concentrated in Florida, where a significant amount of storm-related repair and replacement activity occurred in the fourth quarter. Orders through our B2B Pool 360 application increased 12.5% in the fourth quarter compared to 11% at the same time last year. As we introduced new and improved versions of our Pool 360 water test and Pool 360 service tools, we consider this metric and private label chemical product sales to be the most meaningful indicators of success in the early adoption and ongoing utilization of these tools and applications. Also noteworthy, our pool water chemistry test recommended over one million product applications to consumers through our dealers in 2024 to balance pool and spa water. Over the long term, we see Pool 360 service as a revolutionary opportunity to help our maintenance customers grow their business and create efficiencies and productivities in their operations and in ours. We remain focused on tactically expanding our wide fully integrated sales center network. In 2024, we opened ten new locations and added two more through acquisitions, bringing our total count to almost 450 sales centers. Our Pinch A Penny franchise network added eleven new stores, including seven in Texas, for a year-end network total of 295 stores. With the growth of our Pinch A Penny network, we have added additional capabilities and as of the end of 2024, our operating distribution points specific for continued franchise growth in both Dallas, and Houston. Pinch A Penny will open our first store in the Arizona market in the coming weeks, and has developed distribution capabilities to support this market and future expansion in the Western Sunbelt. Now I'd like to frame up our view of the 2025 market and outlook. Our teams delivered solid results in 2024, executing on our strategic initiatives grow share in both our steady maintenance-related business and to capture available new pool and remodel work in a weaker discretionary spending environment investing in our capabilities that further differentiate our customer experience. Our expectations for 2025 are no different under the present macro. The current interest rate outlook is not likely to benefit our industry in the near term. Having said this, our dealers continue to communicate inquiries on new pool construction and discretionary remodel projects are solid. But when financing is involved, we believe consumers tend to remain hesitant. As in 2024, we expect maintenance-related product sales to be steady, offering some growth potential from the 2024 increase in the installed base, modest inflation, and continued market share gains.
Melanie Hart: In the meantime, we remain aggressive in helping our customers grow their business and providing an unmatched customer experience. So breaking down our top line expectations, we expect total sales growth for 2025 to be relatively flat to up slightly. Growth components include benefits from inflation of 1% to 2%, the maintenance-related product sales growth, and continued market share expansion. Moving to the discretionary portions of our business, currently, we new pool construction in units to be relatively flat. While around 60,000 units may be close to the bottom, the uncertain economic environment makes it unclear how quickly entry-level financing-dependent consumers will return to the market. Renovation and remodel activities should be stable in most markets. Over the past two years, remodel projects have been lower in number and scope, indicating separation of projects or a pullback of more highly featured comprehensive project spending. Deferred remodels will likely be a growth opportunity as the economy improves, but we remain cautious at the present time. Taking these factors into consideration, our 2024 guidance for diluted earnings per share is $11.08 to $11.58 per share including an estimated $0.08 ASU benefit. Melanie will go into more details on the remainder of our P&L assumptions and capital allocation plans at her prepared remarks. Looking out beyond 2025, we're fortunate to operate in an industry that grows upon itself. Each year, new pools go into the ground creating growing demand for the products we sell to maintain and improve those pools every day. Continuing to invest in expanding our sales center footprint developing enhanced technological tools that differentiate our value proposition creating productivity for us and our customers and introducing new products are instrumental in growing our business. With our intense focus on serving the pool service professional, pool builder, and DIY markets through our incredible dealer base, and the Pinch A Penny franchise, we can continue to grow our share through all economic cycles. Additionally, the long-term factors that position Outdoor Living as a growing industry continue to thrive. Southern migration, the growing millennial and emerging Gen Z home buying population, a housing shortage, and technological advancement and support a favorable long-term growth outlook. As I reflect on how we have emerged from our significant growth cycle post-pandemic, I see a company that has strategically expanded its footprint, grown its revenue base by $2 billion increased margins, accelerated the growth of a franchise network acquired and increased the utilization of a vertically integrated chemical repackaging plant, and develop technological tools to help both service and retail customers grow and enhance their productivity. Our widespread distribution network combined with our four central shipping locations throughout the US fully integrated ERP system differentiate us and allow us to efficiently provide our customers with the products they need when they need them along with unmatched expertise to help them grow their business. We are larger and more strategically positioned and integrated than anyone else in the industry. As I wrap up, I want to especially thank the Poolcorp team. Their ability to adapt to their dynamic environment focused on what they can control and propel our growth forward gives me great pride. I also want to thank our vendors. Our commitment to them and the industry is unmatched, and we truly value the partnerships. Lastly, I want to thank our customers for helping homeowners reap the benefits of outdoor living. And I will now turn the call over to Melanie Hart, our senior vice president and chief financial officer for her prepared remarks.
Melanie Hart: Thank you, Pete. I'll start with a quick recap of our fourth quarter results, highlight our 2024 accomplishments, and then discuss our plans for 2025 based on today's environment. Sales reflecting a 2% year-over-year decrease for the fourth quarter continued to show an improving trend from the beginning of the year where we were down 7% in the first quarter, 5% in the second, and 3% in the third quarter. The fourth quarter included an additional selling day, which fell into December therefore, having little impact on the overall results for the quarter. Pete commented on the outperformance we saw in Florida primarily weather-driven, which had an approximately 1% benefit in quarterly sales. Similar to the second and third quarters, we estimate a net 1% inflation benefit positive realized pricing was offset by lower selling prices for chemicals and commodities, over the same quarter last year. Sales continued to be impacted by the lower levels of new pool construction and repair and remodel activity, which contributed to an estimated 5% comparative decrease in sales mitigated by positive volumes in maintenance products. Gross margin of 29.4% was consistent with prior year fourth quarter of 29.3%. Product mix related to lower sales of building materials continued to dilute margin similar to what we have seen throughout the year, and we're balanced by year-over-year improvements from pricing and supply chain actions. Fourth quarter operating expenses increased by $15 million or 7% over last year. Including certain timing shifts across from the third quarter of 2024, the ten new sales centers opened during the year and our incremental technology investments. Operating income of $61 million compares to prior year operating income of $79 million. Operating margin was 6.1% in the quarter, compared to 7.9% in the prior year. Diluted earnings per share for the fourth quarter was $0.98 compared to $1.32 in the fourth quarter of 2023. We are pleased with the outcome of our full year 2024 results, the way we have managed the business in a year with continued macroeconomic pressures, and lower levels of consumer discretionary spending. We maintained our significantly stepped-up 2020 operating margin compared to historical results even with sales contracting and our commitments to expanding our footprint and technology services to our customer. This was accomplished by continuing to make the right choices to focus on the long-term growth and profitability of the company. Solid earnings combined with excellent working capital management including a $76 million reduction in inventory, propelled our operating cash flow generation to almost $660 million. Our capital allocation for the year included ten Greenfield sales centers, two acquired sales centers. Eleven new Pinch A Penny franchisee stores, increased capabilities in our Pool 360 ecosystem, a $103 million reduction in debt outstanding, and $483 million returned to shareholders through dividends and share repurchases. Net sales of $5.3 billion continues to represent our leadership in the outdoor living space. The 4% sales decrease was primarily driven by the approximately 15% decrease in new pool construction units and over 10% estimated decrease in pool renovation and remodel spend. Collectively, these impacted top-line sales, by around 5%. Maintenance held up very well overall, with volume improvement ahead of the growth in the installed base of pools, and realizing about 2% pricing from pass-through of vendor product cost increases. Chemical and commodity pricing have offset the positive pricing impact by 1% for an overall 1% net pricing benefit. Unfavorable weather during the first part of the year had some offset in the fourth quarter for an overall impact of less than 1% for the full year. Lower sales at Horizon Europe resulted in an additional 1% decrease. We estimate that our 2024 full product sales were around 64% in maintenance items, 22% used for renovation and remodel, and 14% for new pool construction projects. This compares to 2023 where the breakout was closer to 62% maintenance products, 24% renovation and remodel, and 14% for new pool construction. Our sales for products we track for use in new pool construction and remodel saw less of a decrease in the overall market, as our building materials product finished the year down 10% even including negative impacts of pricing. We continue to believe that our long-term gross margin target of approximately 30% is achievable in a normalized industry growth environment. And would expect that to vary seasonally. We achieved a gross margin of 29.7% for 2024, compared to the 30% realized in the prior year. In 2024, product mix mostly related to lower levels of new construction and customer mix where our larger customers fared better overall than our smaller customers, negatively impacted gross margin. These fluctuations were offset by positive contribution realized from the reversal of previously recorded import taxes, pricing benefits, increased private label chemical sales, and a return to normal for purchase-related volume incentives. Specific to product mix changes, our building materials as a percentage of sales represented 12% of sales in 2024 compared to 13% in 2023. Our operating margin at 11.6% was consistent with our 2020 operating margin of 11.8%. This includes the incremental investment in technology or 18 basis points impact to 2024. The comparison here is important and that we have maintained profitability at a period of sales contraction while managing through much higher levels of cost inflation. Our operating expenses increased 5% or $45 million to $958 million. Included in the increase was approximately $32 million of future growth levers comprised of the $20 million related to technology, and $12 million for the addition of the ten new Greenfield Stylo Center. The remaining $12 million or around 1.5% increase represents significant capacity creation efforts we were able to control volume-related expenses, utilize our footprint, gain operating efficiencies, and control the increase in total operating expenses to a much lower rate than the inflationary cost impact of the business. We had an ASU benefit of $8.8 million or $0.23 per diluted share for the full year of which $0.01 was added in the fourth quarter. Excluding ASU, our full-year tax rate was 25%. We've finished the year with earnings per share of $11.30 for 2024. Which was 15% lower than prior year reported EPS of $13.35. Excluding the ASU benefit, our EPS of $11.87 was a decrease of 16% compared to $13.18. Coming off of a record cash flow from operating activities of $888 million in 2023, we achieved 2024 cash flows of 152% of net income. We reduced inventory a larger percentage than the sales decrease even while providing stock for our ten new locations. Cash flow in 2024 includes $68.5 million of deferred tax payment for those impacted by Hurricane Francine which will be paid in the first quarter of 2025, and lower the cash flow for that period. Even without the tax timing benefit, cash flow from operations exceeded net income, by 36%. Next, I'll recap key areas on our balance sheet. Days sales outstanding of 26.3 days was favorable when compared to 2023 DSO of 26.8 days. Year-end accounts receivable of $315 million compared favorably by $28 million or 8% from prior year. Our inventory balance of $1.3 billion was $76 million less than the prior year balance of $1.4 billion. The 6% reduction exceeded sales changes as our efforts related to supply chain initiatives continued to add value. Days in inventory was 129, a decrease of six days from prior year. Total debt outstanding was reduced by $103 million from $1.05 billion to $950 million. The debt reduction was funded by operating cash flows and was achieved even with over $59 million of capital purchases for new and existing locations, funding of our technology initiatives, acquisitions, a 9% increase in the quarterly dividend, and $304 million in share repurchase. We finished the year with a leverage ratio of 1.4, slightly below our target leverage range of 1.5 to 2 times. We completed total share repurchases of $304 million including $144 million in the fourth quarter contributing to a 2% reduction in weighted average shares outstanding. Compared to 2023 year-end. The total amounts returned to shareholders for the full year including dividends and share repurchases, $483 million second only to 2022. Despite a challenged business environment and pressured earnings, we have returned almost $1 billion to shareholders through dividends and share repurchases in the past two years. Turning to our outlook for 2025. At this time, we are not anticipating a quick recovery in sales trend. From a macroeconomic standpoint, we are entering 2025 with higher than historical interest rates, possibilities of increased cost, and continued inflation impacts, and unclear path for consumers to return to more normalized levels of in the pool and irrigation space. As proven in 2024, our steady maintenance business will continue to benefit from new pools added during the part year. Even without a meaningful improvement in new construction and repair and remodel activity. Pricing based on full season updates from vendors across our product portfolio is expected to have a blended 1% to 2% benefit with some continued drag in the first quarter for chemicals and commodities. Our sales outlook range for 2025 is flat to a low single-digit increase. As we do not have a significant amount of direct imports, we do not anticipate that the currently enacted additional tariffs from China have a material impact on sales for 2025. The vast majority of our products are purchased domestically, however, may include some portion of goods that could see cost increases and further tariffs from Mexico or Canada were to be passed, We will include any estimated impact of future tariffs in our guidance when we receive cost increases from our vendors and can reasonably estimate the potential effect. As we have historically, we would expect to pass these cost increases through as additional selling price. Our gross margin for 2025 is expected to be within the range of our 2024 gross margin, and our long-term guidance target of 30%. On a comparative basis, in 2025, contributions from our success as the supply chain management pricing, and increased private label sales, are expected to offset the positive import tax included in 2024. Based on trends as we exited the year, we are not anticipating a significant increase in new pool construction and remodel activity. Thus, product mix is not expected to have a significant positive benefit to 2025 gross margin. On the expense side, we continue to see higher than normal growth in wages, rent, and other operating costs that the management team will continue to focus on to offset these cost increases with improved productivity. The stepped-up level of focused investment in technology will continue in 2025 at a similar level as 2024 and is considered a core part of our customer value creation effort. We expect an incremental $10 million of cost associated with new sales center expansion in 2025 as we continue to add to our distribution network. As we start to see market recovery in top-line growth, we expect some incremental incentive-based compensation where a low single-digit top line would result in around $15 million of incremental compensation expense. We expect that interest expense will range $40 to $45 million based on current rates and excluding any share repurchases. Interest expense is typically higher in quarters one and two as we build inventory to support the swimming pool season. The improvement from 2024 is primarily driven by lower expected average debt levels. Estimated at current interest rate. We have included around $50 million to $55 million for our depreciation in Ameren estimation estimate. Capital allocation plans include use of cash around 1% to 1.5% of net sales, on capital reinvestments into the business, including new sales and our openings. We plan for between $25 million to $50 million on acquisitions. Once approved, our dividends will utilize cash of around $200 million.
Peter Arvan: Dollars as we would expect to continue to repurchase shares opportunistically.
Melanie Hart: Cash flow in 2025 is expected to be between 90% and 100% of net income and will be impacted by the $68.5 billion deferred tax payment made in the first quarter of 2025 related to 2024. Our annual tax rate is estimated to be approximately 25% excluding ASU. This rate typically runs closer to 25.5% during quarters one, two, and four and lower in Q3. We are projecting an 8% benefit from ASU in the first quarter for the expected impact of restricted shared vesting and stock options expiring in 2025. We expect approximately 38 million weighted average shares outstanding that will be applied to net income attributable to common shareholders at the end of the first quarter 38.1 million shares for the remaining quarters before consideration of any additional share buybacks.
Peter Arvan: I got it for 2025 as our diluted EPS range
Melanie Hart: of $11.08 to $11.58, including an estimated $0.08 ASU tax benefit. From an operational standpoint, excluding the benefit of the $12.6 million import tax on the 2024 results, the improved earnings at the midpoint would be around 4%. First quarter 2025 will include one less selling day than prior year for a total of one less selling day for full year 2025 compared to 2024. From a seasonality standpoint, with Easter falling later, in the year, this typically would ship pool openings from first quarter to second quarter in some markets. Last year first quarter included the $12.6 million benefit to gross margin related to import taxes. This will provide a negative comparison for 2025 we would expect a normal seasonal gross margin for Q1.
Peter Arvan: As we look forward to the 2025 season,
Melanie Hart: our team is prepared to capitalize on the stable maintenance portion of our business. Continue to capture incremental market share and adjust the business and economic changes that will position outperform the market. When new construction and remodel activity returned to more normalized historical levels, we will be ready as we have made the investments necessary to continue to grow faster than the overall market. I appreciate all of you participating in today's call. Will now open the line for questions.
Operator: We'll now begin the question and answer session. To ask a question, you may press star then one on your touch-tone phone. If at any time your question has been addressed and you would like to withdraw your question, please press star then two. We ask that you please limit yourself to one question and one follow-up. And if you have further questions, you may reenter the question queue. And the first question will come from Susan Maklari with Goldman Sachs. Please go ahead.
Susan Maklari: Thank you. Good morning, everyone.
Peter Arvan: Morning, Susan. I wanna
Susan Maklari: good morning. I wanna talk a bit about the Pool 360 initiatives and some of the momentum you're seeing there. Can you talk about how that will contribute to your outlook for sales to be flat to approximately up this year? And then I think Melanie mentioned in her comments that you expect to spend on those investments about flat year over year, but anything notable within that that we should be aware of in terms of some of the key initiatives and how they're coming through?
Peter Arvan: Yeah. I we're very pleased with the traction that we're seeing on Pool 360. And remember, the ecosystem has many parts. So in our comments, we mentioned that at this point, we're considering new construction to be kind of flattish. Don't really it's very early to tell. Where new construction will end up, but right now, we're assuming flattish. So we lean into the maintenance portion of our business. And the maintenance portion of our business is our private label chemicals play a large role in that. So as we mentioned, one of the measures of the effectiveness of Pool 360 is what's happening to our private label chemical sales, and you can see that they've increased quite a bit. So what we think is that the tools prescribe our proprietary chemicals and that regardless of the construction and remodel and renovation environment, we think that's going to continue to pay dividends. Now that's a function of the number of pools in the ground and largely weather will determine, you know, the length of the swimming pool season. So what we think is that it provides a very effective way for the consumers either with our new app or using the Pool 360 water test at our dealer's stores using the, using the proprietary software that we have at the stores. Or the new Pool 360 service, which we think will drive efficiency of the maintenance companies that are running the software which allows them to run their business. So overall, we think it makes them more efficient, we think it makes them stickier to us. In terms of customer base, and we think it drives sales of the proprietary products because it only recommends our products, not anybody else's.
Susan Maklari: Right. That's great color. Thank you. And then maybe shifting to, Pinch A Penny, you know, given the macro backdrop and all the pressures that the consumer continues to be under, are you seeing that there's growth on the DIY side of the business at all or any shift in that? And what that means for Pinch A Penny, their ability to gain share, and the implications for the margins as a result of that?
Peter Arvan: Yeah.
Melanie Hart: Maybe kind of ironically, there hasn't been a big
Peter Arvan: shift of people turning away from professional service companies to DIY. Every year, a certain amount of customers will flip flop back and forth. Some people say, well, I can do this, and then they try and take it over themselves. If they do it with a if they're uninformed about how to do it and they don't use, you know, the like, some of the apps that we have, it can be problematic. So overall, I would say not a lot of shifting back and forth between do it for me and DIY. I mean, the value proposition that any retail store has is providing a great customer experience. Pinch A Penny provides a great customer experience. They're owner-operated just like our independent stores, which tend to provide the best overall customer experience. So they make it easy for the customers to shop. They're effectively located in the right area where the swimming pools are. They're fully stocked. They have the software and technology, which ensures that the consumer should have the most trouble-free pool. But overall, the growth in Pinch A Penny and a well-run independent retail store has to do with the overall customer experience that they provide.
Susan Maklari: Okay.
Susan Maklari: That's helpful. Thank you. Good luck with everything.
Operator: Thank you. The next question will come from Ryan Merkel with William Blair. Hey, good morning. Thanks for the questions and congrats on the strong finish of the year.
Ryan Merkel: Good morning. I had a couple of questions on guidance. So I think, Pete, I was a little surprised to see, you know, the outlook for new construction units flattish. And, you know, we've got the high interest rate environment, and I believe the pool permits are still down a good bit. Just talk about why you think flattish is the right outlook, then is it more second half weighted? Should it still be down in the first half?
Peter Arvan: Yeah. I think that's right, Ryan. Our dealers that we've spoken to earlier in the year, you know it shows these and so we interact with a lot of dealers in the first eight weeks of the year. And what I would tell you is that their reporting activities are activity is good. Now certainly in the northeast, which is a very small portion of the market this time of year, there's they got winter. Now last year, their winter came later in the first quarter and was pretty good in the beginning of the quarter this year. You know, it's cold and snowy everywhere. I mean, how we get snow in Louisiana. So I think you're right. The sentiment that we're getting from the dealers is that they think that it's not going to get any worse, but I do think you're right. It feels to me like, the general sense of the economy is that it's probably going to be better in the second half than in the first half. Okay. Got it.
Ryan Merkel: And then on gross margin, that was also a surprise for me. You're guiding it flat to up. And just talk about, you know, how you're achieving that because I think product mix will be a negative, and then you've got the accounting headwind. So what are the offsets to those items?
Melanie Hart: Yeah. I mean, the offsets are the six specific actions that we're working on. So we have several things on the supply chain side. That we continue to develop and to put in place in 2024. That we see some future benefits coming into in 2025. And then as Pete mentioned, we rolled out several new categories of private label products. And so that we did that at both our sales conference internally as well as the trade shows that we've been attending early in the year. And so it's going to be, you know, focused on really kinda supply chain. It's gonna be increasing private label. And then the continued efforts that we're making on the pricing side as well.
Ryan Merkel: Got it. Alright. I'll pass it on. Thanks.
Operator: Thank you. The next question will come from Scott Schneeberger with Oppenheimer. Please go ahead.
Scott Schneeberger: Thanks very much. Could you go back over the competitive pressures that you touched upon and also customer mix. And how you're thinking about both of those entering the year and over the course of the year? Thanks.
Melanie Hart: Yeah. So as we've seen kinda throughout the year and really kinda starting in 2021, with the growth in the swimming pool industry, we have seen private equity kind of enter the market in you know, kind of across the different avenues into the industry overall. And so one of the things that we've seen is some growth in our national accounts. Where we have seen some consolidations there. And so what we've seen there is those customers are able to capture a larger share of the market overall. Because they have better reputations within their individual market. And so that's really allowed us to focus from a national standpoint on serving those customers. And one of the avenues that we see as, further improvement in our market share because we are better able to serve those customers.
Scott Schneeberger: Thanks very much. And, Peter, for you, just specifically on remodel,
Peter Arvan: What do you what are you hearing as far as
David Manthey: you know, what what's your what's your customers are saying about the homeowner? What are what's what's implied in is is your assumption for for interest rates and how you thought about the guidance for that And just anecdotally what you're hearing there, what you think the behavior will be from the from the homeowners this year given where we are in the housing market. Thanks.
Peter Arvan: Sure. I would tell you, you really you have to you have to bifurcate the market, so to speak, when it comes to renovation and remodel. Because it really depends on the customer type. So if you have a cash customer, then the pool is ready to remodel. And they go out and engage a contractor, and they make it happen. Ones that have a significant portion of financing because remember, we talked about remodels on previous calls, you know, that remodels have also come up in price quite a bit too. So a new equipment pad could be, you know, fourteen, fifteen thousand dollars a pool finish, could be, you know, nine for a small pool, nine, ten thousand dollars, tile, couple thousand dollars, and decking, it really depends on the size of the decking. So many remodel projects could get pretty large. And when that happens, more and more consumers will seek to finance part of that. So in the current interest rate environment, but for somebody that has to do a remodel because repairs aren't getting it done anymore, meaning that the finish is beyond its useful life, and that's where somebody will say, okay. I may not wanna do it, but I have to do it because the to, you know, to preserve the asset, so to speak. So I think that cash buyers, that market is okay, was okay, is okay, similar to the, you know, to the cash buyer for new pool construction. What I will say, and I mentioned in my comments, is I believe that once interest rate come down, I would expect to see renovation and remodel via a source of growth for our dealer base because I believe that in the last couple of years with elevated rates, people that probably should have remodeled have delayed that. And remember, we consider renovation and remodel to be semi-discretionary. Meaning, I should do it, but I don't really have to do it this year. Perhaps, I can forestall it for a year or two, but eventually, it'll have to get done. So I think that as we move forward, given the installed base continues to age every year regardless of interest rates, I think this will be an area that we'll lean into for growth.
David Manthey: Great. Thanks. Best of luck.
Operator: The next question will come from David Manthey with Baird. Please go ahead.
David Manthey: Thank you. Good morning, all. First question is on the weather. How are you thinking about the weather in 2024 as a comp for 2025 overall? Because precipitation throughout the season was pretty normal, but the temperatures in April, May, and June were pretty much record mild levels. And I understand there wasn't a capacity situation for new construction or R&R in 2024, but wouldn't a good weather season be generally a positive for both the green and all three areas of the blue business, all else equal?
Peter Arvan: Yes.
David Manthey: Okay. Fair enough. So little bit tougher comp in 2025, but that's incorporated into your guidance.
Peter Arvan: Yeah. Okay. I mean, our you know, you've been covering us for a long time, whether it's in this business, especially early in the year, is has some pretty wild swings. Once we get into the season, generally, it's pretty normal. Weather affects us much more on the shoulders of the year.
David Manthey: Yep.
Peter Arvan: Yep. Got it. Okay. And then, maybe you could recalibrate us
David Manthey: on your strategic thoughts around Horizon mean, looking out five to ten years, what is the green business look like? Are you just looking to get deeper in the Sun Belt? Are you looking to nationally or and then secondarily, where does Horizon fit in the range of capital allocation priorities that you have as a company?
Peter Arvan: Great question. So Horizon is Horizon is a business that is much more heavily dependent on new construction, new home construction specifically. And the rest of our business. So we all know that new home construction has been underbuilt for many years and that there is a housing shortage. So I think from a cyclical perspective, Horizon is in a spot right now that there is a net need for new homes. I think the interest rate housing market overall has that locked up a bit? But given that the population continues to grow, and I believe that the long-term outlook on rates is that they will come down and the housing market should unlock, I think that business will thrive in that type of environment. The environment we're in today, frankly, because as I mentioned in my comments, the commercial business in Horizon is in better shape than residential. So from a capital allocation perspective, we're not opening a ton of branches. We are protecting our competitive position in markets where we need to expand and or we may need some capacity. But we remain focused largely on the Sunbelt. I don't really wanna have, at this point, business outside of the Sunbelt for Horizon. It doesn't take a lot of capital. To run that business. And given that our footprint, our competitive footprint in most of the key markets is pretty good. We don't need to put a bunch of capital into new locations. Now if the market the new home construction market takes off in the future years, then, yes, we may add to the footprint. But largely, I don't see the new home construction market taking off outside of the Sunbelt. I think the best chance is to see a growth in that would be in Sunbelt, and we would follow. Thanks, Pete. Good luck.
David Manthey: Thank you.
Operator: Your next question will come from Andrew Carter with Stifel. Please go ahead.
Andrew Carter: Thank you. Good morning. Just first wanted to ask about kind of the commodity pressures. You did say, just to be clear, you lumped in chemicals, plus PVC with any building materials.
Andrew Carter: You kinda level set where you've taken steps down in terms of the chemical pricing? Have you seen anything incremental? Obviously, there's obviously, well, there's SRS out there under Home Depot's ownership right now. Leslie's actually talking about getting more sharp on price points. So just kinda level set where we are and what's kinda considered in the guidance right now.
Melanie Hart: Yeah. So right now in the guidance, we do expect to see some continued pressure on those chemicals, PVC, and to a lesser extent the building materials. So I do think that building materials may have worked its way out of primarily through 2024. On the chemical side, you know, we exited our selling pricing in the first quarter or a little bit less than where they were at the end of 2024. But comparatively different from where they were first quarter. So we're definitely gonna have that impact in the first quarter year over year. As is typical in the first quarter, we do see from a competitive standpoint you know, offers out in the market of, you know, lower selling prices to try to generate cash for those that need to turn inventory into cash and to get people to come in the door in the first quarter. It's not much different that we're seeing this year first quarter than we saw last year. And, really, by the time the season hit, that, kind of normalized. Because people weren't leading with pricing on those chemicals anymore. So that would be kind of a similar assumption, to what we would look for for, you know, for the rest of 2025 as it relates to that. PVC piping, you know, that one is, you know, continued under pressure. It was down, you know, year over year 20% to 25% for the full year. Still down some. Not a significant part of our business overall, but, you know, we're not seeing any recovery in that at this point. So could know, be slight slight impact on deflation for the rest of the year.
Andrew Carter: The second question you you're talking about, like, the flat new construction for the full year, and I think you said at certain point that's predicated on pressure on the entry levels not coming back. I guess there's a second there's a positive to that, which is the increased content content rich feature rich at mixed tailwind. Your building materials were down 11% last year. New construction was down 15%. Do you see that providing kind of a healthy benefit? Is that in your guide? Is that upside to the guide have continued? And have you seen any of that go back, i.e., like, any of the pools that are being built by the higher end, are there any sacrifice or it is just as, okay, if I have the money to build a pool, a build a pool, and I'm gonna build what I want. Thanks.
Peter Arvan: Yeah. I think that's generally right, Andrew. If you have the money to build a pool, you want a pool, you're more than likely to put in the available technology today. You're not gonna try and go back to an older platform. And quite frankly, most of the builders you know, wouldn't do that anyway. So as far as, you know, the overall price of the pool, I think it's being skewed by a couple of things. One is content, and two is just the type of pools that are being built. I think we're seeing more and more or continuation, I should say. Continuation of the number of pools being built on average being the larger, more feature-laden pools than entry-level. I think there's healthy demand for entry-level. We expect it to turn at some point. And quite frankly, that's why we've continued to invest in our business because we realize it's a cycle. And we don't wanna be when the cycle turns, you know, we continue to gain share, and when the cycle turns, then essentially, that's when we're gonna get paid for these investments in new locations. And other investments that we've made in our customer experience.
Andrew Carter: Thanks. I'll pass it on.
Peter Arvan: Thank you.
Operator: The next question will come from Trey Grooms with Stephens. Please go ahead. Hi. Good morning, everyone. So just real quick, Melanie, on the operating expenses and, you know, you went through several puts and takes around that. And
Peter Arvan: clearly, there's several moving pieces this year. Could you talk about
Trey Grooms: maybe the timing of some of these factors or maybe how we should think about you know, the cadence of operating expense as we move through the year. And sorry if I missed any details on that. It I broke out for just or my call disconnected for just a second.
Peter Arvan: Yep. No. I appreciate the question.
Melanie Hart: So the two areas, that we, are investing in specifically for 2025. One is going to be the addition of a similar number of new sales centers, and that we expect to spend about $10 million. So we will see the majority of that come through kind of before season. We are, you know, fairly far along in opening up, you know, a little over half of that. In, you know, before season, so before April, May. So you'll see that kinda heavily weighted to first second quarter. And then the rest of it will fall into the fourth quarter. We typically don't open up anything kind of in the middle of the season. So that's how I would split those expenses. And then, on the incentive comp side, that we actually report in proportion to our operating income when we earn it. So it would have a similar seasonal spread to our overall operating income.
Trey Grooms: Got it. Okay. And then maybe I guess, this could also kind of and it's up to the similar question on timing. But you know, you'd mentioned some rebuild demand in Florida from hurricanes. Know, expected. Have those come through yet, or how are you thinking about the timing there? And then also, you know, with back half expectation for you know, maybe a leveling or maybe even a little improvement in the new side and R&R you know, should that impact the normal seasonality that we typically see?
Peter Arvan: Yeah. Related to Florida, but I would say is there's still areas in Florida that need a significant amount of work that we're still you know, they're when the homes aren't rebuilt, then they're not gonna rebuild the pools. Right? So any place where the home was still, you know, habitable, then those pools were as quickly as possible put back online so that people can use them. There's still a fair amount of pools and homes in Florida which are uninhabitable, and those pools will be future work for us once the homes get fixed or rebuilt. There's a lot of those homes they're gonna have to be raised and rebuilt versus just repaired given the elevations of when those homes were originally built. So that for us is just gonna continue to be future work. Right? It'll grow as people continue to move to Florida and the homes that were damaged get rebuilt. As far as your question on the second half versus first half of the year, I would say that certainly, I believe the second half. Our current thinking is that the first half new construction I mean, we say overall flattish. I think that the first half is going to be weaker than the second. We're anticipating that the second half will be a little bit stronger. It's very early in the season, very tough very tough to predict right now given the amount of uncertainty that there still is in the economy. But, you know, based on the level of optimism that we sense, we the dealers, that's currently what we are thinking. You know, when I consider our first half or first quarter of the year and I look at the weather the weather patterns, as I said last year, weather in the beginning of the quarter or beginning of the year was actually very good. For the first quarter, and then the end of the first quarter, you know, winter came and stuck around for a few weeks into the beginning of the second quarter. We don't know where we're gonna end this year as far as first quarter weather, but it looks like we're getting a real winter up north. But fortunately for us, this is not the most seasonally significant time of year.
Trey Grooms: Alright. Okay. Got it. Thanks. I'll pass it on. Good luck. Thanks.
Operator: The next question will come from Garik Shmois with Loop Capital Markets. Please go ahead.
Garik Shmois: Oh, hi. Thank you. The $25 to $50 million your budget for M&A, I was wondering if you could talk to some of the opportunities that you're looking at.
Peter Arvan: Yeah. I think at this point, it's really in the same same area that we continue to invest in. I think there's some opportunity for continued consolidation, albeit not nearly as much as there was, say, you know, five or six years ago. So we have we have an M&A deck that we continue to work and have conversations with people, but I wouldn't expect at this point anything anything out of the ordinary.
Garik Shmois: Okay. And then was hoping you could speak to, labor availability on the new construction side. If we start to see growth whether it's in the second half of this year, maybe in 2026, what you're hearing from contractors given the administration's new policies on immigration and if there's any initial view on availability and being able to get to future growth.
Peter Arvan: Yeah. That's a question we've gotten a few times. And I would tell you that I think in general things are okay. Because if you look at what the administration is targeting, they're targeting the more recent migrants, if you will, but if I go back to before this started, the, you know, the elevated migration of people that they're trying to reverse now. I mean, we built 120,000 pools and new home construction was stronger then. So there was plenty of people back, you know, four, five years ago to build more pools and build more homes. And my assumption is that those folks are still here. And are not the target of any of the administration policy. So by and large, we're not hearing from any of our builders that their labor pool has changed significantly.
Garik Shmois: Very good. Thanks for your thoughts. I'll pass it on.
Peter Arvan: Thanks.
Operator: Our last question for today will come from Sam Reid with Wells Fargo. Please go ahead.
Sam Reid: Awesome. Thanks so much. Peter, I really appreciate all the high-level color you gave on your outlook beyond 2025. That said, you know, could we drill down in terms of what needs to happen for you to get back to your algorithm especially kind of that 6% to 9% level on the top line.
Sam Reid: I guess what I'm getting at is
David Manthey: is 6% to 9% achievable absent lower rates. Or if not, let's say, we see this rate environment kinda persist in perpetuity here, you know, would 2025 be a good approximation in terms of how the business will trend?
Peter Arvan: Thanks for the question. I would tell you that in order for us to get back to the long-term growth algorithm 6% to 9%, then we need the housing market to loosen up. And we need rates to come down. If rates don't move and people's access to capital from their home equity remains very expensive. Think if you call that the new normal, I guess I'd have to view that in a couple of different stages. If it's normal now and then you have and it stays flat for several years where it becomes not as much of a shock of, wow, this is really expensive and therefore it is the new normal. But I think I would have to, you know, fall back on, well, how desirable is the product that we sell? Meaning, you know, new pools. Are pools something that are gonna go out of favor or it's a matter of affordability? So if rates stay elevated and wages continue to go up as time goes on, if rates don't move, then eventually, we would get back to the growth algorithm because I think you know, maybe naturally the housing market would open up. I believe that rates will come down. And that should stimulate some growth. And as I said, I think there's some pent-up demand on renovation and remodel. And I believe that the product you know, that we are involved in, which is, you know, the outdoor living and swimming pools are still in high demand. And I would expect as rates come down for it to move. But certainly, in the short term, it'll be very hard to get back to the 6% to 9% growth if you know, new build construction stays flat at 60,000 units.
Sam Reid: No. That's helpful, Peter. I appreciate it. And then now, Melanie, quick
Melanie Hart: one for you. You know, you talked through several new private label categories. That you're getting into. I know you're already really strong on the private label Kim side. Could you just dig deeper into what you're doing beyond that? You know, what's the mix of COGS, those new private label products are gonna account for and then maybe isolate any gross margin benefits in 2025.
Sam Reid: Thanks.
Melanie Hart: Yes. Our main focus continues to really be initial for 2025, on the maintenance side of the business. So the various products that we're adding to that portfolio, really, they kind of all cover the maintenance side. And, you know, from an overall benefit, you know, we are expecting, you know, kind of back to Ryan's question, you know, some offset from some of that positive benefit that we got in 2024 related to the import taxes. That won't be recurring. So for the full year, that was about a 20 basis points. And then we're also continuing to add to our MPT private label product. On the pool finish and tile side which, you know, we'll see some benefit of that in 2025, but, really, poised for a future benefit as the new pools and renovations continue to increase.
Sam Reid: That's really helpful. Thanks so much.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Mr. Peter Arvan, President and CEO for any closing remarks. Please go ahead, sir.
Peter Arvan: Yes. Thank you all for joining us. We look forward to our next call, which will be on April 24th, when we will release our first quarter 2025 results. Have a great day. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.